Operator: Ladies and gentlemen, greetings, and welcome to the Lattice Semiconductor Third Quarter 2025 Earnings Conference Call. [Operator Instructions] As a reminder, this conference is being recorded. It is now my pleasure to introduce your host, Lattice Semiconductor's Vice President of Investor Relations, Rick Muscha. Please go ahead.
Rick Muscha: Thank you, operator, and good afternoon, everyone. With me today are Ford Tamer, Lattice's CEO; and Lorenzo Flores, Lattice's CFO. We will provide a financial and business review of the third quarter of 2025 and the business outlook for the fourth quarter of 2025. If you have not obtained a copy of our earnings press release, it can be found at our company website in the Investor Relations section at latticesemi.com. I would like to remind everyone that during our conference call today, we may make projections or other forward-looking statements regarding future events or the future financial performance of the company. We wish to caution you that such statements are predictions based on information that is currently available and that actual results may differ materially. We refer you to documents that the company files with the SEC, including our 10-Ks, 10-Qs and 8-Ks. These documents contain and identify important risk factors that could cause the actual results to differ materially from those contained in our projections or forward-looking statements. This call includes and constitutes the company's official guidance for the fourth quarter of 2025. If at any time after this call, we communicate any material changes to this guidance, we intend that such updates will be done using a public forum such as a press release or publicly announced conference call. We will refer primarily to non-GAAP financial measures during this call. By disclosing certain non-GAAP information, management intends to provide investors with additional information to permit further analysis of the company's performance and underlying trends. For historical periods, we provided reconciliations of these non-GAAP financial measures to GAAP financial measures that can be found on the Investor Relations section of our website at latticesemi.com. Let me now turn the call over to our CEO, Ford Tamer.
Fouad Tamer: Thank you, Rick, and welcome, everyone, to our third quarter earnings call. As I marked my first year as CEO, I'm more confident than ever in Lattice's upward trajectory. Our strong Q3 performance and forward-looking guidance reflect the strength of our strategy and execution. With a world-class team and a robust innovation pipeline, we are well positioned to capitalize on the ever-expanding investments in AI and data center infrastructure. At the Open Compute Summit last month, we saw increasing interest in Lattice's low-power data center offerings. We also witnessed accelerated momentum for Lattice's security and board management solutions that we provide to hyperscalers, neo-cloud and server and communications OEMs and ODMs. And at the same event, we demonstrated our leadership position in post-quantum cryptography or PQC for short. I'm pleased to report that the adoption of Lattice's PQC technology is also accelerating due to the NIST requirement that systems be CNSA compliant. We exited Q3 with even higher confidence demonstrated by new use cases for Lattice products across our core markets as well as the acceleration of design wins, which were on pace for a record year in 2025. This momentum highlights our differentiated value proposition, low power, small size, fast boot time and high reliability and sets the foundation for rapid growth into 2026. In general, we continue to see data center investments expand across all payers and applications in the AI infrastructure tsunami. Lattice is benefiting from a corresponding revenue growth evidenced by increasing bookings now and into 2026. This is giving us increased confidence to invest further for growth in 2027 and beyond. We firmly believe that delivering above-average revenue growth is consistent with why our shareholders invest in Lattice. For Q3, we delivered revenue of $133.3 million, up 7.6% over Q2. This represents the highest sequential growth in more than 4 years. Our Q4 revenue guidance of $143 million at the midpoint equates to 22% year-on-year growth. This estimate is the largest increase in nearly 2 years and shows our belief in a strong recovery and upward momentum. With respect to end markets in the third quarter of 2025, Communications and computing grew 8% sequentially and 21% on a year-over-year basis to a record level. The computing subsegment growth is being driven by our expanding footprint and increased use cases in both general purpose and AI-optimized servers. And the communications subsegment growth continues to be driven by wired data center infrastructure, including network interface cards, switches, routers and security appliances. As expected, the Industrial and Automotive segment increased 6% sequentially. The growth rate is tempered as we continued to strategically shift under true demand to normalize channel inventory. As we told you on prior calls, we are on track to normalize channel inventory by year-end, positioning us for renewed growth into 2026. We are confident that we're gaining share across smart factory, robotics, medical and aerospace and defense applications based on customer feedback and design win activity. While we remain subject to macroeconomic and industry conditions, there are several factors fueling confidence in our prospects moving forward. Lattice's addressable market is growing due to the size of the infrastructure capital expenditures growing fast, our diversified position in the largest and fastest-growing applications, growing attach rates, increasing average selling prices from our new products, broadening the application footprint of our small and mid-range FPGA portfolio; and finally, increasing AI usage. Taken together, we believe these dynamic factors are expanding dollar content for Lattice per customer system. We also continue to win with pre-Nexus, Nexus and Avant products. Customers are consistently choosing Lattice over our competition as evidenced by the growth in our design wins, which are on pace for a record in 2025. Revenue from our new products continues to grow at a strong rate, and we are on track to exceed our 2025 goal that we projected in prior earnings calls. Lastly, we estimate the percentage of AI usage across our products will be in the high teens in 2025 and mid-20% range in 2026. In summary, Q3 was a strong quarter marked by consistent execution and strategic progress. We remain focused on delivering differentiated innovation, deepening customer relationships and driving long-term shareholder value. We have increased confidence in our outlook, led by our leadership position and ability to capitalize on the compelling opportunities in front of us to drive accelerating growth in 2026 and beyond. Let me now turn the call over to Lorenzo for a detailed review of our Q3 results and Q4 guidance. Lorenzo?
Lorenzo A. Flores: Thank you, Ford, and good afternoon, everyone. We will begin with a brief overview of our third quarter 2025 financial performance, followed by our fourth quarter outlook. We are pleased to report that Lattice again delivered on expectations with revenue, gross margin and operating profit all in line with our outlook for the quarter. Revenue increased 7.6% quarter-on-quarter and 4.9% on a year-over-year basis to $133.3 million. Overall, this was the highest revenue we have obtained in 5 quarters, and we are expecting continued growth in Q4 and in 2026. We set a new record for communications and computing revenue, which grew 21% year-over-year and 8% sequentially. We expect strong growth in this end market in Q4 and in 2026. Our gross margin expanded by 20 basis points quarter-over-quarter and 50 basis points year-over-year, 69.5% on a non-GAAP basis. This performance continues to reflect the durability of our business model and the value and differentiation our products provide for our customers. Non-GAAP operating expense was $53.9 million, in line with our guidance. OpEx was flat on a year-over-year basis. Roughly 4% sequential increase in operating expense reflects our strategy to invest in the products, infrastructure and talent that will further strengthen our leadership position and enable us to drive accelerating growth. We have built confidence in our 2026 revenue expectations. Aligned with those expectations, this quarter, we accrued stock-based compensation expense for PRSUs. This accrual was the primary driver of the increase in our GAAP operating expenses. Our non-GAAP operating margin expanded 150 basis points to 29%, and our EBITDA margin also increased 150 basis points to 35.6%. We delivered non-GAAP EPS of $0.28, which was at the midpoint of our guidance and represented 17% growth on both a year-over-year and quarter-over-quarter basis. GAAP net cash flow from operating activities for the third quarter of 2025, increased to $47.1 million, up from $38.5 million in Q2, with a GAAP operating cash flow margin of 35.4%, up from 31.1% in Q2. Free cash flow in Q3 was $34 million with a 25.5% free cash flow margin, up from $31.3 million and 25.2% in Q2. This remains a focus area for Lattice, and we expect to continue to generate strong free cash flow. We are achieving these levels of free cash flow while strategically investing in CapEx in support of our product road map and operational improvement projects. We are pleased with the continued improvement in industrial and auto channel inventory. We continue to track to plan and expect inventory normalization by the end of 2025. As we noted last quarter, comps and compute channel inventory has already normalized. Now let me turn to capital allocation. Our balance sheet remains strong. We remain debt-free and have ready access to capital to support both organic and inorganic growth opportunities, and we remain well positioned to navigate macro uncertainty. Given our balance sheet strength and our business model, returning capital to shareholders remains a key component of our capital allocation strategy. During the quarter, we repurchased approximately $15 million of common stock under our existing buyback program. Through the first 9 months of 2025, we've repurchased approximately $86 million of common stock. We have $14 million left on our current authorization, and we will be reviewing our next authorization with our Board of Directors in December. Now let me turn to our Q4 guidance. This guidance reflects the recovery of our business and sets the stage for continued growth into 2026. In Q4, we expect revenue to grow and be in the range of $138 million to $148. At the midpoint, this represents revenue growth of 22% over Q4 of last year. This would be the highest year-on-year growth in nearly 2 years and is supported by the strongest booking patterns we have seen in at least 6 quarters. We expect gross margin to be 69.5%, plus or minus 1% on a non-GAAP basis. Non-GAAP operating expenses are expected to be between $54.5 million and $56.5 million. The income tax rate for Q4 is expected to be between 3% and 5% on a non-GAAP basis. Non-GAAP EPS is expected to grow to be between $0.30 per share and $0.34 per share. In closing, Q3 was another strong quarter for Lattice. We delivered results in line with our guidance, and we expect further acceleration given our position in high-growth markets. We are driving near-term operational improvements, investing to strengthen our leadership in small and midrange FPGAs and positioning the company for an even stronger 2026. Operator, that concludes our formal remarks. We can now open the call for questions.
Operator: [Operator Instructions]
Lorenzo A. Flores: Operator, this is Lorenzo Flores at Lattice. I'd like to tell all our audience that we found a typo in our press release that relates to our operating expense guidance. The guidance that I provided in my prepared remarks of between $54.5 million and $56.5 million is correct, and we will correct the press release, which says between $54 million and $55 million immediately after this call. So with that, we can start our questions. Thank you.
Operator: We take the first question from the line of Kevin Garrigan from Jefferies.
Kevin Garrigan: Congrats on the results. So first question, you said you had increased confidence in your outlook for 2026. Is that confidence contingent on the expected normalization in industrial and auto channel inventory in Q4? Or can the strong comms and compute growth you guys are seeing more than offset any potential macro industrial and automotive softness?
Fouad Tamer: Thank you, Kevin. This is Ford. As you've seen from our Q3 results and Q4 guidance, our comms and compute business revenue growth continues to accelerate, and it will accelerate further into 2026. Our comms and compute business as a percent of total revenue went from 35% of total revenue in 2023 to 45% of total revenue in 2024 to an expected over 55% of total revenue in 2025, and we expect that to grow to about 60% of revenue into 2026. With that growth, that segment becomes very significant to our acceleration of revenue growth. And in 2025, we have accelerated server and communications faster than the underlying CapEx growth. So our server business has been up 85% year-to-date compared to 2024, and our communications business has been up 63% year-to-date compared to 2024. So you could see both server and comms are growing faster than the underlying CapEx, and that should continue into '26. So you would expect that comms and compute business to drive accelerated growth in '26. Furthermore, as you indicated, we are on track to get industrial automotive inventory normalized by end of the year. Our comms and compute inventory is already normalized. And our overall channel inventory is expected to get in the 3.x by end of the year as we had previously told you on prior calls. And with that, we should also see the industrial and automotive shift to natural demand as opposed to chip to under natural demand like we're doing through 2025. So with both comms and compute accelerating and industrial and automotive recovering and shipping to natural demand, we expect 2026 revenue growth to be very strong.
Kevin Garrigan: Perfect. And just as a follow-up on the Industrial and Automotive segment, can you just talk about what you're seeing on a regional basis? Any geographies that are stronger than you had expected?
Fouad Tamer: Yes. Thank you, Kevin. So we are seeing China automotive to continue to be strong. Automotive for us overall is less than 5% of our overall revenue, but China is probably the region where automotive is strong. We are seeing the aerospace and defense to be strong worldwide, and we are winning increasing share of designs in that segment. We are also seeing this physical AI, a lot of design win activities, wins are companion chips for physical AI across all the various segments from industrial robotics to humanoids to automotive, to medical, aerospace, defense, test and measurement and all the various segments in industrial and automotive. So we're pretty positive on where that segment is going to go into '26 and inflect even further into '27.
Operator: We take the next question from the line of David Williams from The Benchmark Company.
David Williams: Congrats on the real shift in your tone. And I guess that's my first question is just around your confidence. Clearly, you outlined all the nice drivers there. But I guess what do you think has changed over the last 90 days that maybe has changed your confidence? It feels like that inventory is clearing up. And so you kind of talked about that last quarter. But just wondering if there's any demand issues or demand things that have changed driving that greater confidence.
Fouad Tamer: Yes. No, great question. David, thank you. We had a very successful Open Compute Summit. It was a show attended by most of the hyperscalers, server and OEMs and ODMs as well as the related wireline communication equipment OEMs and ODMs. And at that show, attendees were noticing that somebody like flipped the switch. And all of a sudden, the past 90 days, we've seen definitely an increase in activity and spend. As you've seen from the most recent hyperscaler earnings, the forecast for next year has been up, and we've seen that. We also are starting to work closer with some of the neo-cloud and enterprise vendors, and we're seeing them being more aggressive in wanting to increase their AI CapEx. One of the hyperscalers gave us a quite a big increase forecast for '26, '27 and even into 2028. And we're seeing our adoption as a companion chip for some of these AI in both the data center and the physical AI accelerate. So for example, on the cloud data center, we're seeing our adoption as companion chip for CPU across x86 and ARM, AI accelerators from NVIDIA, AMD, Intel, hyperscalers, various accelerator ASICs across networking, across Broadcom, Mirvan, Mellanox and Cisco, security, board management, rack management, cooling, power management as a companion chip, the small and midrange FPGA from Lattice are doing quite well, and we're being adopted at an accelerated pace. And we're seeing the same as a companion chip on physical AI around sensors for like camera, LiDARs, radars as well as various industrial and automotive applications.
Lorenzo A. Flores: I think -- and really finally, I'll repeat that what I said in my commentary, we've got the strongest book-to-bill that we've had in 1.5 years or so, and it's booked into the first half of next year. So all the sentiment and enthusiasm that Ford has just described and the reasons for that are actually showing up in our orders. So we see not just the spirit, but the actual business coming.
David Williams: Great. A lot of great color there. I certainly appreciate that. And maybe just from the Avant platform, you talked about seeing growth across all. But just kind of curious if we can get an update on the Avant platform, how the design wins are trending there and maybe what the expectations are for growth into 2026.
Fouad Tamer: Yes, both Nexus and Avant are doing quite well as well as some of the pre-Nexus platforms as well. What we said in the past is that we believe that 2026 will be the year of Nexus and '27 will be the year of Avant. We see 2026 as being the year of the data center with '27 being a big recovery in industrial and automotive. Nexus seems to be more related to the data center as Avant is more related to some of these midrange applications in industrial and automotive. And so that's how we're seeing the revenue stagger over the next couple of years.
Operator: David, does that answer all the questions you have?
David Williams: Yes.
Operator: We take the next question from the line of Tristan Gerra from Robert W. Baird.
Tristan Gerra: Thanks for the color about AI-related demand. And as we see an acceleration in AI demand, I guess we shouldn't read much into a little bit of a sequential slowdown in Q3 for communication and computing because it looks like that line was up 20% sequentially in Q2, up 8% in Q3. So first, should we assume a re-acceleration of the growth in communication computing in Q4? And is the strength in Q2 perhaps linked to the fact that this is the first quarter where inventory levels normalized? And as such, you kind of caught up with end demand and now you're back in line shipping with real end demand. Is that how we should read into this?
Lorenzo A. Flores: Yes. Let me handle parts of this, Tristan. I think the guidance we've given for Q4 actually shows significant sequential growth in comms and compute. I think there is some of the non-server business in our comms and compute business that impact the measured growth rates. But I want to refer you back to earlier comments that we've had previous quarters and again this quarter about the real driver of the comms and strength is our server demand. And that's over 80% growth year-over-year. I think that's a very strong indicator of what's going to drive that. Now that may not stay exactly that high, but the point is it's growing faster than hyperscaler CapEx by a significant amount, and it is showing the expanding footprint in terms of the design wins we have, the number of chips in design, ASSP design, and we expect that to continue to grow, as David's question pointed out, as we go from generation to generation from pre-Nexus to Nexus to Avant. So I think all those things point to a strong acceleration. So I don't think I would get too hung up on the couple of decimal points on a quarter-to-quarter change. I think if you think of the overall trajectory through time, you see it's quite strong.
Tristan Gerra: That's very useful. And then when should we look at gross margin picking up from current levels? And what will be the catalyst? I mean it sounds like with the growth that you're seeing in computing that there should be gross margin expansion next year. And I understand you're not guiding, but is it fair to say that we should see gross margin expansion next year? Or are there any offsetting factors? And also wanted to understand the commentary about '26 being the year of Nexus. Historically, and back in the days, as you know, high-end FPGA will typically see revenues peaking after about 7 years. For Nexus, it looks like after a fairly muted ramp the first few years because you used to provide a breakdown. And earlier this year, we were kind of in the low teens as a percent of revenue for Nexus, which given the launch date of late 2019 was probably a little bit below what I would have thought at least at the time. But now it looks like the momentum is accelerating, and I wanted to understand the dynamic of that. Why is Nexus getting after all those years, even more momentum?
Lorenzo A. Flores: Yes. So I will -- we're going to parse this question out probably amongst us here in the room. And I want to start with the gross margin question, which is actually one of my favorite questions because it gives me the opportunity to reflect back on the level we are actually at 69.5%, which is pretty good, and it takes a lot of work to get there. Your question is actually in terms of the impact of comms and compute on the overall gross margin. I think we hear the other side of the question, whether industrial recovery will impact it positively. I think you all have to take into account that there's a spectrum of profitability across our end markets and within those end markets, within particular design wins as they ramp up. So we manage the overall portfolio to get to the margin, and it would be potentially plus or minus a few basis points going through time. But I think we're pretty comfortable with this margin for now, anticipating several different mix scenarios. So I think we're not looking for very big improvement from one factor or another as we go through time, but pretty much staying where we are. On the Nexus ramp, I do think the -- I'll start on this and Ford can fill in. One of the things to keep in mind is we are just now expanding the product line with Nexus, bringing out more products. The phenomenon you talked about before is more where there's a burst of products, but we are ramping new Nexus products through this year and next. So Ford, do you want to fill in anything on the Nexus ramp?
Fouad Tamer: Yes, absolutely. Tristan, good question. The Nexus products continues to be introduced. So if you think about it, we've introduced a new I/O optimized Nexus in Q2 of 2025. We've introduced 4 to 5 new SKUs of Nexus in '25. We expect another 5 to 6 in '26. So yes, 2019 was the first product introduction, but we continue to roll new Nexus product. We've introduced a Nexus 2 that is going to, again, start to be rolled out. So Nexus is the whole family with quite a few devices. And so when we say Nexus, Nexus really is what we call our small FPGA, and that's going to be going on for the next 10 years. And we're seeing a tremendous bunch of new applications. So we went from booting and I/O expansion and buffer and control to now Root of Trust and to PQC and to board management and to rack management, the latest OCP, we had leak detection. So the number of applications that we are finding are immense. And you wouldn't be growing 80% -- over 80% year-on-year in server if we weren't widely adopted and continue to being adopted at even faster rate. So we're very positive on Nexus for the next quite a few years here. And again, think of Nexus as what we're calling our small FPGA family. And we're leading there. We're going to continue to lead. We're going to continue to invest to continue to lead.
Operator: We take the next question from the line of Gary Mobley from Loop Capital.
Gary Mobley: Can you size in industrial and automotive, how much you're undershipping is embedded in your Q4 guide as you work down that inventory? And then on the other side of the coin, are you running into shortages or extended lead times for the comms and compute segment?
Fouad Tamer: Yes. Thank you. So we don't break it up exactly, Gary, but we have said in the past that we're undershipping by about a couple of weeks a quarter, so call it $15 million to $20 million a quarter. And we expect that to be normalized by end of the year. So you could see this being a headwind in '25 becoming a tailwind in '26. The lead time on the comms and compute are expanding, but we are on top of it and are very focused on making sure our customers get supply, and we have done a very good job so far.
Lorenzo A. Flores: Yes. We announced the extension of lead times a couple of months ago, actually in August and in parallel, work with both our suppliers and our customers to make sure that our deliveries were matching up. And so we have the visibility from our order book to keep doing that. I think our customers have been satisfied with our delivery performance. And the extension of lead time is really actually helpful for us to plan the business and plan our loadings with suppliers. And as I indicated earlier, we now have good visibility into a very strong book of business going forward for the next 3 quarters at least, including Q4.
Gary Mobley: As you think about your data center opportunity or sizing the served available market, do you use any sort of benchmark like what your dollar opportunity is per gigawatt of capital spending plans by the different hyperscalers or maybe differently, your content per rack scale solution, all-in GPU, CPU, networking? Anything there that you can share would be helpful.
Fouad Tamer: Yes. No, we do have that, Gary. We have an attach rate per server, attach rate per rack, attach rate for different companion chip that we are, if we're companion chip to a CPU or a GPU or a switch or a NIC or storage or board management, these are all very different dollar per chip. So we are -- we have very detailed models. We obviously don't share those. What I can tell you is we're going to grow faster than CapEx. The CapEx is increasing fast, as you know. But we're growing faster because our attach rates are growing faster. The users of Lattice FPGAs and these data center applications continues to expand. We're going to newer products like Nexus and Avant, hence, a higher average selling price for these newer products. We have an increased AI server adoption, which again is driving higher content for Lattice. So overall, you could see we'll continue to grow faster than the underlying market.
Operator: We take the next question from the line of Christopher Rolland from Susquehanna International Group.
Christopher Rolland: So Ford, I wanted to go back to your comment about data center at 60% of total for next year. So I think previously. 60%, right? Sorry, CNC, yes. So I think previously, you guys have said like 15% to 20% growth year-over-year that in I&A, inventories are normalizing by year-end. I think you guys reconfirmed that. I would have thought that just as that normalizes for I&A, it would create a great deal of growth for next year. So I would have assumed I&A is growing here. I mean there's 2 parts to that 60% comment that you made. CNC could be much higher, but also conversely, I&A could be much lower. And so I'm trying to balance that like to understand like what I&A growth could be next year. You also made the comment that next year is really the year of CNC and I&A is 2027. So trying to read the tea leaves, particularly for I&A. Are you thinking it is a much more flatter year than perhaps we are?
Lorenzo A. Flores: So let me start at the beginning and at the high level, and you recall in my remarks, I said we're growing in confidence and with respect to our growth in 2026. And because of that, I had to make an accrual for some performance-based, revenue-based stock compensation. That threshold was 20% into 2026 from where we expect to end the year today at the midpoint of our guidance. So that's where we are. And Ford, do you want to add the color around the end markets? And go ahead or I can do it.
Fouad Tamer: Yes. No. So at the high level, Chris, I&A is expected to go back to growth next year. We think it would be in the sort of mid-single digit to, call it, 15% range. But the comms and compute could be more in the 20% to 40% range. So that's how to think about these 2 segments.
Lorenzo A. Flores: Right. I wouldn't -- we wouldn't have the confidence in the growth if we were thinking we were highly dependent upon significant growth in industrial and auto because as you know that's more subject to the macro environment, and we are still working through the end of the year on the inventory. So when we look out into 2026, we didn't want to drive our expectations assuming a bigger than mid-single-digit growth rate, as Ford, said in industrial and auto.
Christopher Rolland: Excellent. And then maybe bigger picture, Ford, just thinking about your legacy kind of in AI, but also networking and maybe the next steps for Lattice, perhaps maybe even becoming more than just an FPGA company. I think we've talked about putting hardened ARM cores into an FPGA before. But what about putting hardened MAC cores or an NPU into an FPGA and/or building kind of an ASIC capability to guide some of your customers to FPGA into a hardened ASIC? Or just any other thoughts on the next steps for this company and what you're exploring or thinking about without, of course, mentioning the specifics?
Fouad Tamer: Yes. Look, we're very excited about where we can take Lattice into the future. On the hardened processing core, if you wish, we have adopted the strategy of being partners with microcontrollers and microprocessor companies. And we've had some very good success to date. The most recent customer meeting we had in Asia, we had NXP Semiconductor be there with us. We worked together at OCP and the partnership with NXP is actually becoming quite strong and customers quite like the 2 of us together. We're expanding it across others. So on the microcontroller, we're seeing interest from other players in that space to do the same. And you'll hear more partnerships in the future. So we do believe that on the processing side, whether it's microprocessor or microcontroller, you're going to see 1 plus 1 equal 3, where we'll be providing joint solutions to customers that leverage the best out of FPGA and these processor next to us. On where we're going to take this longer term, there's definitely quite a few discussions going on and exploration, but we're not ready to discuss at this point. We're being asked by customers to do some specific stuff that we're investing in and that may be part of the increased investment into 2026 that Lorenzo has hinted to in his prepared remarks. So stay tuned on that. We'll have more detail as we go.
Operator: We take the next question from the line of Ruben Roy from Stifel.
Ruben Roy: Ford, I wondered if you could add a little detail to the AI usage comment. I think you previously said high teens going into the mid-20s for next year. How are you thinking about mix on that relative to compute and comms versus industrial and automotive? And maybe a little detail on how you're defining AI usage would be great.
Fouad Tamer: Thank you, Ruben. We are still on track for the mid-teens in this year, 2025, going into the mid-20s by next year, 2026. And the ratio is about 60% comms and compute versus 40% industrial and automotive. On the comms and compute, we play a role of a companion chip where to the various ASICs and ASSP I've mentioned before. On the industrial and auto, we can play a far edge AI near sensor intelligence, if you wish. And that's our focus, less than 1 tops, these very power-sensitive applications that are really tied to these camera, LiDAR, radar, other industrial sensors. I hope that answers the question.
Ruben Roy: Yes. That's helpful. And then just a follow-up on your comment regarding Nexus -- year of Nexus next year and then Avant '27. And you mentioned that Nexus sort of plays into data center and Avant may be a little more slated for industrial and auto. And I'm just wondering why you wouldn't see some mid-range FPGA kind of usage in some of the, I guess, higher-end comm and compute applications that are coming up. Am I reading that wrong or listening to you wrong or anything to add on that comment?
Fouad Tamer: No. I mean we would see Avant applications in the comms and compute. We'll see Nexus application in industrial and auto. So I wasn't trying to imply exclusion. I was trying to imply a majority, if you wish, of the design win will be Nexus on the comms and compute and Avant on industrial and auto. And we, for example, had Ericsson at our developer conference, who was showing an Avant application. And so again, we'll have applications of Avant in comms and compute for sure.
Operator: We take the next question from the line of Melissa Weathers from Deutsche Bank. Since there is no response, we'll move on to the next question, which is from the line of Joshua Buchalter from TD Cowen.
Joshua Buchalter: I guess I wanted to ask about some of the assumptions behind the growth rates you just talked about for 2026 or the revenue split, I should say. Any metrics you can give us on what would -- or details you can give us on what would allow you to come in at the lower end versus the high end of the 20% to 40% range, given it's such a wide range and maybe any details on how much contribution you're expecting from general purpose versus AI servers? And then on the industrial and auto side, is that sort of assuming just shipping to normal seasonality with the 5% to 15% and no restocking? And I'm trying to understand what's the sort of normalized sell-through for auto and industrial at this point given all the volatility.
Lorenzo A. Flores: So I'm going to -- Josh, I'm going to go kind of a little backwards on this. The industrial and auto, like I said, for us to be confident, given what's happening in the world and what could happen, we thought that it would be prudent really to, as you indicated, just say we're back to kind of a normal -- I don't know, seasonal is the right word, but normal demand cycle as we start shipping to where consumption and our revenue are aligned versus undershipping demand as we have been. That's not -- I think that's not aggressive at all. On the comms and compute side, I think we are pretty confident that the $20 million to $40 million range that Ford said earlier, we have good support in with the fundamental driver, which is the CapEx of the industry. And that range aligns with what we see the CapEx for the industry being. And as Ford said earlier, we could have upside as our footprint actually grows against that CapEx based on the design wins we have and the opportunities that we're beginning to ship to now. So that's -- hopefully, that answers your question. I don't I think that AI mix, and this is something -- you can jump in and correct me if I'm wrong. The AI mix will continue to grow just as the nature of the prevalence of AI in the overall footprint in both comms and compute and industrial grows as well. We haven't broken that out separately. Is that helpful?
Joshua Buchalter: Yes, it was. I appreciate all the color there. And then for my follow-up, I mean, you guys called out a bunch of different applications for companion chips and use cases that you're seeing in both general purpose and AI servers. Could you maybe speak to which ones you're seeing the most traction for now and which ones you expect to grow more as Nexus and Avant product portfolio layers into the mix?
Fouad Tamer: Yes. Josh, I'm not sure we're prepared to break it up to such a level of detail by application. I think as Lorenzo was saying, what gives us confidence, if you see the overall CapEx expected to grow 20% to 30% next year, we expect to grow faster than that underlying CapEx. Hence, the numbers that we're mentioning. I think starting to break this down by application is beyond this call. We can discuss on post calls, if you like.
Operator: We take the next question from the line of Melissa Weathers from Deutsche Bank.
Melissa Weathers: Can you hear me now?
Fouad Tamer: Yes.
Melissa Weathers: Great. Sorry, having some phone issues. Maybe my line needs more FPGAs. I guess -- sorry if I missed this in an earlier question, but you guys have been talking about PQC a lot. And I'm still a bit uncertain like how big that market could be. So could you just talk about like what -- how big is that opportunity for you guys? Is it growing? What are you seeing? Just anything else on the PQC side?
Fouad Tamer: I mean PQC is a big driver of our security adoption. We do believe we're ahead. It is being mandated in all systems right now. So we're being designed in now into both comms and compute type of applications. And we haven't broken it up, Melissa. So again, I think we're probably not going to be ready here to break down percent of applications per use case on this call.
Melissa Weathers: That's fair. And then on the pricing side, I just want to make sure as we're kind of bottoming out in the semi cycle, are you seeing anything interesting on the pricing side either from your industrial and automotive customers or maybe on the content compute side, a little bit more leverage? Just anything on pricing?
Lorenzo A. Flores: No. So our pricing strategy is obviously to price to value, as you can tell by our gross margins. And as I said earlier in the commentary around gross margin, that varies a lot between the segments and within the segments between the different design wins depending on how the customers are going to use it. We also have had consistently a strategy of working with our customers to provide a long-term value proposition. So we're not tactically taking advantage necessarily of certain demand trends because we think we're going to work a long time with these customers and over time, we'll get the full value of what we offer from our product set to these customers. So we do see, at the same time, candidly, pressure from our suppliers based on demand, and we're managing through that on both sides of the supply chain with them and with our customers to mitigate the impacts of that.
Operator: We take the next question from the line of Quinn Bolton from Needham & Company.
Quinn Bolton: I just want to come back to the auto industrial. That business has been running at about $50 million a quarter all year, and that's been very consistent. You've also said you've been undershipping by $15 million to $20 million every quarter. So consumption feels like it's been very consistently at $65 million to $70 million for the last 4 to 5 quarters. I guess I really struggle to see why would that drop to something in the $55 million range implied by your 5% to 15% guidance in 2026, that just seems like there's a massive change in the consumption level implied by your guidance.
Lorenzo A. Flores: Yes. I'm -- I think the challenge in reconciling these -- what you're saying and what we're seeing is there is a direct aspect, meaning non-channel piece of our industrial and auto. And what we're talking about in terms of where you see the phenomenon of undershipping demand, it's really primarily in the channel. But I don't want to underwrite, if you will, that level of increase into 2026 until we actually see the strength underlying the overall industrial and auto business.
Quinn Bolton: And the backlog coverage -- sorry, go ahead Ford.
Fouad Tamer: No. What is the number that you're mentioning then for....
Lorenzo A. Flores: He's saying 52%, 47%, 50% something like that in terms of the industrial auto through the year. Is that right, Quinn?
Quinn Bolton: Yes, I'm just -- industrial and auto.
Lorenzo A. Flores: That's our number.
Fouad Tamer: So to answer your question -- so your number for -- well, maybe we should do this reconciliation after the call? Quinn?
Quinn Bolton: Yes. Yes, we can take offline. The other question I had just on the comms and compute, guys, you talked about servers up over 80% year-to-date, and I think the comms up over 60% year-to-date. Yet if I look at the total comms and compute in '25, even with a healthy increase Q-on-Q in December, kind of looks like you're going to be up mid-20s for the year. And so it feels like there must be a portion of comms and compute that's down pretty substantially to bring the total bucket to mid-20s when I think the 2 biggest components of comms and compute, servers and wired comms are growing 3 faster. So what's the offset?
Fouad Tamer: Yes, yes. Yes, the offset is the client business. So we had a big client business last year that pretty much has disappeared now. So we've had a big headwind in the client business, Quinn, with 3 client OEMs, large 1 and 2 medium-sized ones. And that headwind disappears now.
Operator: We take the next question from the line of Chris Myers from Rosenblatt Securities.
Christopher Myers: This is Chris Myers on for Kevin Cassidy. First, can you guys just share your current view on the automotive market right now? Are you guys seeing any inventories come down or any backlog start to build up again? And then on the data center side, what's the trend that you guys are seeing in terms of your dollar content per traditional server versus AI servers? And then do these devices play different roles in the 2 different types of systems?
Fouad Tamer: Yes. We -- on the AI server versus traditional server, we definitely have more content in AI servers because of the aggregated nature of these servers. So we -- so yes. And then on the...
Lorenzo A. Flores: On the auto, first, let's remind everybody that the automotive business is a very small part of our business. And what we see on a global basis is not -- we don't see any tailwinds there yet, except the place that seems to be moving the fastest is in China automotive. But again, that's a portion of our overall business, which is a small part of our overall industrial and auto business. So that's what we see. We don't see auto strength anywhere but China.
Operator: Ladies and gentlemen, this concludes the question-and-answer session. I would now hand the conference over to Lattice Semiconductor's Vice President of Investor Relations, Rick Muscha, for closing comments.
Rick Muscha: Yes. Thanks, everyone, for joining us today. We'll be attending the following investor events this quarter: the Stifel 2025 Midwest One-on-On Conference in Chicago on November 6, The AllianceBernstein 2025 Buy-Side Small and Mid-Cap Summit in New York City on November 18. And then lastly, the UBS Global Technology and AI Conference on December 2 in Scottsdale. This completes our call. Thank you very much for your participation, and have a good evening.
Operator: Thank you. Ladies and gentlemen, the conference of Lattice Semiconductor has now concluded. Thank you for your participation. You may now disconnect your lines.